Operator: Good day and welcome to the Ideal Power Inc. Third Quarter 2015 Earnings Conference Call. Today’s conference is being recorded. And at this time I would like to turn the conference over to Matt Hayden, Chairman of MZ North America. Please go ahead, sir.
Matt Hayden: Thank you very much. Good afternoon, everyone. I’d like to thank you for taking the time to join us today for Ideal Power’s third quarter conference call. Your hosts are Mr. Dan Brdar, Chairman and CEO, as well as Mr. Tim Burns, the company's Chief Financial Officer. Dan will provide a business update, including recent orders, partner announcements and product updates, while Tim will cover the financial results. A press release detailing the results crossed the wire this afternoon at 4 P.M. Eastern and is also available at the company’s Web site, idealpower.com. Following management’s prepared comments, we will open the floor to questions for those of you who are dialing in and also to those participants joining via webcast. Before we begin, I’d like to remind everyone that some statements on the call and the webcast including those regarding future financial results and industry prospects are forward-looking and maybe subject to a number of risks and uncertainties that could cause actual results to differ materially than those described in the conference call. Please refer to the company’s SEC filings for a list of associated risks. In addition, we encourage you to visit the company’s Web site for more supporting industry information as we update it frequently. At this time, I’d like to turn the call over to you, Dan. The floor is yours.
Dan Brdar: Thank you, Matt. Our focus this year has been primarily around three areas. First capturing the technology and system integration partners we believe will be the leaders in the commercial and industrial energy storage market as it develops and matures. Second is bringing out innovative highly differentiated products that will give or partners a superior rate for return for their projects. And third is continuing to innovate and advance the state of our technology and the intellectual property necessary to protect our competitive advantages. Executing on all three of these areas is essential for us to achieve the level of growth we are targeting in the coming years. We made strong progress on all three areas and as a result are positioned to enter 2016 looking at significant growth in our business. Before we look at 2016 in more detail, I am going to recap our progress and key activities for the recent quarter and have Tim review the financials. Similar to last quarter, we have a lot of information to share on today's call but the most important piece is the significant change in our backlog as a result of several recent orders. Our order backlog as of today is 22 megawatts compared to approximately 6 megawatts at the beginning of the year. With market pricing for our products at $0.25 to $0.30 per watt depending on the product, our current backlog translates into roughly $6.1 million. What is particularly exciting to us is that not only are we positioned for growth in 2016 but a large percentage of the order backlog is from new partners we signed and announced earlier this year. We believe this is a reflection of the strength and capability of the new system integration partners we are targeting and also an indication of the maturing of the market itself. In prior calls I summarized our strategy and the disruptive nature of our technology platform for the benefit of our new shareholders. For those of you who are new to Ideal Power, I would encourage you to look at our new Web site and the transcripts from past calls to get a more in depth understanding of our overall business strategy. We are focused on creating a best in class branded power convertor, known for being the lightest, most efficient, reliable and flexible solution on the market and based around our Power Packet Switching Architecture or PPSA. Power conversion is everywhere around is and is used in automobiles, air conditioning systems, power generation and most applications that use electricity. Currently estimated at more than $50 billion per year, the entire power conversion market is projected to grow at the $70 billion a year by 2020. The high growth segments of the market are the applications we are initially targeting and they include standalone energy storage, solar coupled with energy storage and the growing use of microgrids. Our initial focus is on battery energy storage solutions for commercial and industrial customers, both standalone and paired with solar and microgrid. Staying focused as a small company will be key to our success. As we gain notoriety, we can transition to larger more mature market verticals that are typically slower growing and dominated by entrenched players. Due largely to declining cost of batteries, the use of energy storage is becoming one of the most rapidly growing energy related market. According to Navigant Research, global installed energy storage capacity is expected to reach 20.8 gigawatts in 2024, creating a worldwide market worth $15.6 billion. Most analysts believe this market on a standalone basis and when coupled with solar, could rival the growth of solar in the coming year. With high and continually rising demand charges from utilities and rapidly declining battery cost, energy storage offers a compelling value proposition that in a subsidized market like California can produce paybacks of three to five years. As battery costs continue to decline, the addressable market becomes a truly global opportunity with returns expected to be superior to solar. A key accelerant for the storage market will be the arrival of third party financing which we are now seeing with some of our system integration partners. For the commercial and industrial segment in particular, project financing is a broad enabler since commercial customers want to buy turnkey solutions. With major financers coming into the arena and enabling turnkey solutions with zero down and guaranteed savings, we expect the growth curve to be pretty steep in the next several years. As you have seen through our announcements during 2015, an increasing number of large, well-established companies and brands are entering the energy storage market on the heels of the early adapters and we work diligently to align ourselves with those we believe will be the long-term winners. Some of the key new system integration and technology partners we announced this year include Gexpro, formerly known as GE Supply. LG Chem, Sonnenbatterie the market leader for energy storage in Germany. EOS, Kaco new energy and others. We have additional channel partners we will be announcing in the coming weeks that will build on our existing market channels and provide the long-term growth we are targeting for our business. The additional system integration partners will be familiar to those of you who follow the energy storage market. To support this growth, we also introduced new products designed to make our offerings global in nature and also to enable our partners to pursue larger project using our PPSA technology. We completed product certification of our grid resilient 30 kilowatt products and gave it 50 Hz and 60 Hz capability to make it a global product. In addition, we completed the certification of our 125 kilowatt 2-port product, also a micro grid capable product with 50 and 60 Hz capability and completed the first product shipments in the quarter. These new products in addition to our existing 30 kilowatt 2-port product, are now shipping and are well represented in our current backlog. Previously we indicated that Gexpro was working to secure third party financing for their storage solution offerings. We are pleased to announce that they recently concluded a financing relationship for their storage business. We will be announcing their financing partner in the coming weeks but I can share with you today that their finance partner is a Fortune 500 company with considerable expertise in power generation and renewable energy. This has given Gexpro the comfort to step up their order flow which played a significant part in the 14.5 megawatt order we recently announced. Our new partner Sonnenbatterie also progressed into volume orders and during the quarter provided their first volume order totaling 1.5 megawatts for deployment in the U.S. and we expect that relationship to continue to scale in 2016. On the international front, we are pleased to have received our first commercial orders for Asia. These orders were for our 125 kilowatt product and would be deployed in China and Japan. The orders were from an existing customer and a new partner that we hope to announce by the end of the year. Electric prices, solar penetration and many other drivers lead industry analysts to believe that the storage market in Asia will rival the U.S. and we want to make sure that we are embedded with the right partners to help drive that growth going forward. As I previously mentioned, the ability of our standard units for service to [globe] [ph], addressing markets with different voltages and frequency requirements merely through software, is another of the unique attributes of our PPSA technology and products. Having a common set of hardware and a common software interface, simplifies the system integration and testing for our global partners. This flexibility in addition to our products small size and weight, no noise and high efficiency, continues to differentiate our offerings from other power conversion technologies. As we discussed last quarter, we are securing relationships and beginning to see order flow from solar integrators who are entering the storage market. Our hybrid three-port converters are an excellent solution as they eliminate the need for separate solar inverters and battery converter, thereby creating a unified solution for the best efficiency and cost structure. The good news is the supply chain for sales, transportation, installation and servicing already exists for solar installers on a broad scale which can be easily leveraged by these players to incorporate storage. With players like Gexpro offering turnkey solutions and financing packages, we believe this part of the market is ready to take off. As solar related companies develop their strategies for entering the storage market, we anticipate forming new partnerships that leverage their market presence and our unique product capabilities. One example of such partnership is the alliance we announced last quarter with Kaco new energy, a major solar inverter manufacturer. Kaco is in the process of selecting their battery and system level software suppliers to enable them to offer an integrated storage solution to the markets in North and Central America. They are already actively pursuing products and we expect them to drive additional order flow in 2016 as they bring a white labeled version of our product to the market and close their first opportunity. Now moving on to other key verticals, microgrids. We recently received a multiunit order for our grid resilient 30 kilowatt multiport power conversion systems from EnerDel for military microgrid application. The unit shipments will commence this quarter. Microgrids represent a significant opportunity as batteries will be increasingly used to displace the use of diesel fuel for power generation, particularly for developing countries and remote locations as well as for mobile power platforms used by the military. EnerDel sought our technology because our PPSA based products are smaller, lighter and more efficient than traditional power converters. Another important vertical we are targeting is distributed generation. Boeing, who previously placed a multi unit order, just completed testing of their distributed generation system at their facilities and our units performed very well. Boeing is now in the process of installing the first customer launch site in California which is expected to be completed this quarter. Once the customer demonstration of their system is complete, they expect to ramp commercial installations in 2016. We are looking forward to the successful completion of their customer demonstration so we can provide more visibility into their new distributed generation offering. Being involved with a company of this size and caliber is quite exciting, especially as they are bringing cutting edge products to a market where they obviously see a great deal of potential. While our initial market entry is focused on storage related markets, our PPSA technology has broad applicability for a variety of power conversion markets. I mentioned on previous calls that we plan to demonstrate our PPSA technology this year in an application that has nothing to do with renewable energy. The addressable market in power conversion -- the larges addressable market in power conversion is the use of variable frequency drives or VFDs. This is a multibillion dollar market that has not see a lot of innovation in recent years due to the matured nature of the currently available technology. The use of VFDs on applications such as commercial air-conditioning systems can result in significant energy savings for building owners. One of the limitations of traditional VFDs is they cannot be used on the large installed base of non-inverter grade motors without damaging the motor. Our PPSA technology does not have this limitation. As a result, we are currently conducting a demonstration at the University of Texas, Center for electro mechanics, of our PPSA usage of variable frequency motor drive. The demonstration consists of a direct comparison of the PPSA based VFD against a product from one of the world's leading VFD suppliers. We chose the University of Texas site due to the high level of expertise at their Center for Electro mechanics and also saw so direct comparison in data gathered against the conventional product could be conducted by a highly credible third party. The demonstration is now in progress and we look forward to sharing the results of the work with you in future calls as well as our strategy to bring a VFD based product to market. Now let me provide an update on our technology development for our billion-directional switches. We are currently pursuing two different approaches for bidirectional switches. The first approach is a development of a bidirectional IGBT. During the course of our bidirectional IGBT R&D efforts, we have come up with a significant development that provides an alternative to accomplishing bidirectional switching. This alternative approach is a proprietary configuration called the bidirectional, bipolar transistor or B-TRAN. The B-TRAN switch has the potential to meet or exceed the projected performance of the bidirectional IGBT. We have released a white paper that describes the benefits of our new B-TRAN technology which can be found on our Web site. The projected performance of the B-TRAN has now been validated through third party simulations and is part of our semiconductors manufacturing development program. In either case, bidirectional IGBT or B-TRAN, the bidirectional switch will take the place of what is done today with four conventional devices such as IGBTs and diodes. These bidirectional switches are expected to reduce the switching losses and the number of points of potential failure, resulting in higher system efficiency and reliability. The result of this improvement will allow us to almost double our power density and effectively will be able to produce close to 60 kilowatts in the small size box that can today produce 30 kilowatts. This is expected to yield substantial competitive advantages that will enable long-term cost and performance leadership for our products. The significant reduction in size, cost and corresponding increase in efficiency and reliability opens up several new multibillion dollar mature markets for our PPSA technology that currently rely on conventional power conversion technology. We have been working closely with a semiconductor fabricator to develop the manufacturing processes needed to produce the bidirectional switches in volume and build the prototype devices for testing. During the last quarter, we brought on a second semiconductor fabricator who will primarily be focused on developing the manufacturing processes and producing the proof of concept of devices for the B-TRAN. We are very impressed with both the capability and the speed of development of the new semiconductor fabricator and we look forward to briefing you in more detail on their efforts. In prior calls, I indicated that the patents for the bidirectional IGBTs are likely limited to only the manufacturing processes. The B-TRAN however, offers not just the potential for higher performance, but also the opportunity to build considerable patents around the devices and their operation. We are pleased to announce that the receipt of five patents has been issued to related to the B-TRAN. The patents cover the operation, control and manufacturing aspects of the device. We also received notice that tomorrow, our first European patent on the B-TRAN will be issued further expanding the IT protection on our next generation switching technology. We also have several additional U.S. and international patents pending on the B-TRAN to further protect our IP. We will continue to develop the bidirectional IGBT as our primary approach to create the next generation PPSA technology. However, if the B-TRAN device is successful, I would give us an option with potentially higher performance and where Ideal Power would own the critical and lesser property, covering operation, control and manufacturing. Having two horses in the race is truly better than one and we will keep you apprised of our progress on both fronts going forward. On the IP front, from a company perspective, the addition of the B-TRAN patents I just discussed will bring our total issued patents to 35 including the European B-TRAN patent. This is up considerably from the 22 patents we had at the beginning of the year. [Either] [ph] with the recent patent awards, we still have over 100 patents pending at the patent office that cover a broad range of technology and product advancements, product techniques, control algorithms and applications for our technology. Before I provide outlook at what to expect for the balance of this year and 2016, I will turn the floor over to our CFO, Tim Burns, to discuss the financial results. Tim?
Tim Burns: Thank you, Dan. I will turn through the third quarter and year-to-date financial results. Total revenue for the third quarter which consisted entirely of product revenues, was $895,000 or an increase of 210% compared to $289,000 in product revenues for the third quarter of 2014. As we have previously mentioned, revenues in our [only] market such as energy storage tend to be lumpy and our quarterly revenue was impacted by delivery timing of or 30 kilowatt battery converter to our customers and the timing of receiving certification for our 125 kilowatt product, resulting in a modest sequential decline in quarter-over-quarter revenue. Total revenue for the first nine months of 2015, which also consisted entirely of product revenue was $3.3 million or an increase of 291% compared to product revenue of $842,000 in the first nine months of 2014. We have seen a meaningful shift in our product mix. In the first half of the year, our revenue was largely from our 30 kilowatt battery converter and to a much lesser extent in the second quarter, our grid resilient 30 kilowatt 2-port and multiport power conversion systems. In the third quarter, our revenue consisted of sales of our 30-kilowatt battery converter, strong growth in sales of our grid resilient 30 kilowatt 2-port and multi-port power conversion systems and initial sales of our 125 kilowatt product. Total cost of revenue in the third quarter was $842,000, yielding positive gross margins of 6% compared to negative 22% gross margins in the third quarter last year. Our third quarter gross margins were negatively impacted by the initial low volume production of our new 125 kilowatt product with first shipments weighting the quarter. As we have mentioned previously, new product rollouts will yield temporary short-term reductions in gross margins, although these temporary reductions will become muted as our overall volumes and revenues scale. As communicated on our last call, as we are shipping at low to moderate volumes, our quarter to quarter gross margins will have variability depending upon the product mix and timing of new product introductions but we are targeting gross margins of 30% to 40% at scale and exclusive of any benefit from licensing. We have already shown that even at low volumes, our gross margins swing from negative to positive and as revenues continue to grow in 2016, we expect leveraging our business model to become even more apparent. As you review the comparable 2014 period, you will see grant revenues and expenses related to the $2.5 million Department of Energy ARPA-E grant. We no longer have grant revenues and expenses as the ARPA-E grant was fully funded at the end of 2014. Research and development expenses increased in the third quarter to $1.7 million from $689,000 in the third quarter of last year, broadly as a result of our investments in bidirectional power switch development, which are now completely self-funded and include the engagement of a second semiconductor fab during the third quarter to accelerate proof of concept and prototyping of this technology as well as new product development activities related to development and certification of our 125 kilowatt product. Research and development expenses increased in the first nine months of 2015 to $3.8 million from $1.6 million in the first nine months of 2014. The increase was due to our self-funded investment in bidirectional power switch development as well as new product development activities related to our grid resilient 30 kilowatt and 125 kilowatt products, both of which we expect to contribute meaningfully to our growth going forward. We expect R&D spending to be at similar levels during the next two to three quarters as we continue to invest in both our bidirectional IGBT efforts and proof of concept for our new bidirectional switching concept, the B-TRAN. We believe our current investments in research and development will result in significant growth in 2016 and in future years and also generate substantial long-term shareholder value. SG&A decreased slightly from the second quarter of 2015, and increased by $193,000 compared to the third quarter of last year, largely as a result of non-cash items including higher stock compensation expense and normal course patent abandonments, as we continuously evaluate and streamline our pending patent portfolio. We do not expect significant increases in SG&A in the short-term while we strategically expand our sales team to drive future growth as we enter new markets and geographies. Operating expenses for the third quarter totaled $3 million, yielding a net loss of $2.9 million due to our increased investment in research and development and to a much lesser extent higher non-cash stock based compensation expense. We currently have a backlog totaling $6.1 million, a 171% increase from the $2.2 million and backlog at September 30. This backlog covers our entire product family and as anticipated, now includes a larger portion of grid resilient 30 kilowatt three-port and 125 kilowatt units. While we have previously noted that our backlog will typically translate into revenues within six months, we have now seen one customer place a large volume order for full-year 2016 deliveries. If this occurs with other customers prior to year-end, it could extend the six month rule of thumb. As another rule of thumb, when we place an order on manufacture, units we produce and available for shipment within 90 days for larger orders, potentially shorter timeframe for smaller orders as we maintain a minimum level of stock on hand. This stock on hand is modestly supplemented by inventory held by our distribution partners like Gexpro. As Dan mentioned, depending on product mix and volume discounts, one megawatt of order typically translates to $250,000 to $300,000 of backlog. We prefer to report orders in megawatts and then get backlog in terms of dollars to protect our customers privacy and our pricing. We expect our 125 kilowatt product to likely represent the largest portion of backlog going forward translating into increasing revenue contribution in the fourth quarter and throughout 2016. From a working capital perspective, most orders are self funding, meaning payment terms to manufacturer and collection of customer receivables are closely aligned. This means that most orders will be self financing. This allows us to scale meaningfully without the specific need to raise working capital. We currently have ample capacity at our contract manufacturer to meet backlog and forecasted growth for the coming year. Cash usage during the quarter was $2.6 million. On September 30, our balance sheet included $17.3 million in cash and cash equivalents and no debt. In addition, we have a federal NOL of approximately $15 million, which will help initially shield us from income taxes as we become profitable. Lastly, I wanted to mentioned we recently received research coverage from Oppenheimer. Colin Rusch, who was an analyst at Northland who previously covered us and recently moved to Oppenheimer. His coverage is in addition to coverage by ROTH Capital and Craig-Hallum who have both followed us during the past year. We also expect to maintain coverage with Northland who has covered us since our IPO and are pleased that four firms now cover Ideal Power in this relatively early stage of our growth. I will now turn it back over to Dan. Dan?
Dan Brdar: Thanks, Tim. For the balance of 2015, we will continue to focus on the key drivers that will fuel our growth in 2016 and beyond. We anticipate announcing additional system integration and market channel partners before year-end. We have several relationships that are well developed and are reaching the stage where we will be able to talk about them publicly. Some of these partners are bringing a pipeline of business that they have already developed and in some cases announced in that they are international in their view of the market opportunity. Year-to-date, we meaningfully expanded our customer channel partners including several with a global reach, including folks like Gexpro, LG Chem, Kaco, Sonnenbatterie and others. While each partner will move with their own pace, we are laying the foundation for long-term growth. Based on forecast from our partners, we anticipate further backlog increases in giving us better visibility into 2016. Accompanying this will be of course will be a growth in our top line with an increasing amount of our revenue coming from our new 125 kilowatt product. Looking at 2016, we expect to see not just significant growth in revenue but diversification on where that revenue comes from both geographically and market segments. While the California demand charge market for commercial and industrial customers has been the core of our orders and shipments this year, there is a broader market opportunity that we intend to pursue in 2016. We also expect to see some of the partners we announced this year and will be announcing by year-end move into volume orders to support their energy storage business. Working closely with our global channel partners, we are prioritizing our international efforts to support their energy storage business. We will be adding international product certifications to our products to accommodate the markets that require certification standards other than [U.S.] [ph]. We will be making announcements throughout 2016 as various international product certifications are completed. We also look to provide additional information in the coming weeks for our investors regarding the source of the project financing for some of our larger customers such as Gexpro. The expertise and brand that the company is providing, project financing gives us additional credibility by association. Broadening our offering beyond energy storage will be key to demonstrating that our PPSA is a technology platform, not just a niche market based on energy storage. The successful completion of our DFT demonstration at the University of Texas and the data they will provide will form the basis of our go to market strategy to pursue more mature power conversion markets. We will be sharing those results with you in our product and channel strategy as they develop. Later this year, we hope to be able to announce the results of the Boeing customer demonstration project. While we don’t control the timing or success of their demonstration project, the results to date for their efforts are encouraging and we look forward to Boeing announcing their results and commercialization plan. If the project is successful, we will work hard to capture their business going forward as a key supplier for their distributor generation offering. As we look at 2016, you will be able to continue to measure our progress by our announcements on orders and backlog, new system integration partners, expanding our market reach in new applications and geography, new product launches, international product certifications, testing of our bidirectional switches and expansion of our IP portfolio. These activities should enable us to continue to grow and expand our leadership position and we are excited about how 2016 is shaping up for us in terms of the growth and expansion of our business. At this time, I would like to open up the call to questions from our listeners. Operator?
Operator: [Operator Instructions] Our first question from Craig Irwin with ROTH Capital Partners. Please go ahead.
Craig Irwin: So, Dan, when I was at ESNA, I met with several of your customers and it was the Tuesday after Hawaiian changed its [indiscernible] regulations. They were all super excited about this, thinking this would make the Hawaiian market look a lot like the German market. Obviously, Germany has been a great market for battery backup. Self-generation, battery backup, storage systems. Can you maybe share with us whether or not this has translated into increased activity with certain customers and how you expect this to maybe play out.
Dan Brdar: Sure. It's definitely creating both additional players that are coming to the space and also it's part of the projection of what we are seeing from the forecast from our existing partners. Gexpro, for example, expects Hawaii to be a significant source of their activity in 2016 and because of what's happening in Hawaii and a couple of other locations, some of the new partners we are going to be announcing are really driven to capture a significant share of that business because they see it begin a pretty lucrative first market for the early movers in the space.
Craig Irwin: Great. Thank you for that. So then the second question that I had was, during the third quarter there was a certification, right. Your 125 kilowatt unit, if I am correct. Can you maybe discuss with us how you handle the expenses for these individual product certifications? I understand this contributes to some of the margin volatility. How would we normalize that to understand this more clearly?
Dan Brdar: Well, Tim will cover it in a little bit more detail but the margin volatility really relates to when we introduce a new product, it's in low volume. So that the cost to build products in small volumes obviously is higher. That’s the margin impact. The certification activity itself is actually an expense flow through the R&D line. Tim, you want to have a go?
Tim Burns: Yes. So the development of certification cost for the 125 are one of the two main drivers for our increase in R&D this quarter, the other was been the engagement of the second fab on the B-TRAN. We had said that that number is expected to be about $0.5 million roughly for about three quarters of the B-TRAN effort. As we introduce new products, it's less than that. It's probably a couple of hundred thousand dollars that you will see hit the R&D line depending on the size of the product. It's more expensive to rollout a 125 versus a 30 kilowatt product, for instance. In terms of what actually hit the gross margin numbers, when we initially purchase units in very small volumes, there is a lack of economy of scale in purchasing and production, labor etcetera. So the first, probably couple of quarters really that we introduced a new product and till we get to a more normalized run rate, we will see downward pressures on margin. The one thing I would add to that is going forward is our revenue line in general grows and our margin in general grows. The impact of those new product introductions will not be as readily apparent in the numbers just because we will have more scale.
Craig Irwin: Great. And then next question is share related. So taking the numbers from Greentech Media, sort of looks like you have around 90% share in your addressable market. Do you expect that share to hold or maybe expand as you see traction to 125 out there. Either other things that you can do to maybe continue to expand that share of market and larger service offerings that you don’t address now that might contribute to revenue acceleration.
Dan Brdar: Yes. Good question. Part of what we are really focusing on for next year is now with 125 kilowatt product being out, we think there is really expanded market opportunity that we can go after. A lot of what has gone on in this past year has been filled with the 30 kilowatt products and a lot of it is tied to the availability of the Californian incentive dollars, the self-generation incentive rebate. Having the 125 allows us to participate in bigger projects that really have nothing to do with those incentive programs. They are activities that are responding to utility solicitations, they are markets that are outside of California. So the 125 for us really enables us to get into segments of the market that previously we just couldn’t credibly address and really gets us away from being tied strictly to the availability of incentive dollars.
Operator: At this time we will take a question from Eric Stine with Craig-Hallum.
Aaron Spychalla: This is Aaron Spychalla on for Eric Stine. Thanks for taking the question. So you provided a lot of great details. Maybe starting, I guess, on the 14.5 megawatt order. Can you just talk about, is that just with one customers across a handful of building. And talk a little bit more about the further growth potential with this customer and how close you might be to seeing additional orders of this size with additional customer.
Dan Brdar: Yes, it is primarily one customer and it's for multiple markets that they are going after. It's really them making about it themselves in terms of how quickly they are going to grow their business. If business grows at the rate I think they would hope, we could see more out of them in '16. I think more importantly what it does is, it sends a signal to the market that the competition is really heating up and one of the partners that we are going to be announcing here before year-end, part of what's got them moving more quickly we think is directly seeing how aggressively Gexpro is targeting rolling out product. So it's actually stimulating other larger companies to move quicker in terms of the partnering efforts with us.
Aaron Spychalla: Okay. Good. Thanks for the color. You know maybe second on Asia, can you just kind of talk about what the pipeline looks like they are in the near-term. I no longer term you said that it might rival the size of the U.S. market. What do you think in the near-term?
Dan Brdar: We think that '16 is not going to be the biggest percentage of our revenue. We think more importantly what it does is it creates the opportunity for us to do some partnerships with some new players that are really looking for a way to differentiate the storage offerings that they bring to the Asian markets, Japan in particular, because Japan is a market that really is still a largely untapped potential from storage but has a real need because of how strong of a push they have had for solar and the retiring of a lot of their nuclear capacity. So we think that Asia is going to probably be one of our bigger markets but it's going to take a couple of years for it to develop, at least for us. But we are really focused on making sure we capture partners that are going to have really -- drive brand recognition and moving out from them -- there will be names that you know and recognize.
Aaron Spychalla: Great, thanks. And then maybe last from me. I guess just on the licensing side of things. I know Kaco is going to be potential licensor. Is there anything new on the licensing front within the other potential partner?
Dan Brdar: We actually do have another licensing discussion going on with another player, completely different in terms of who they are, the kind of things they do. It's a little early to say whether we are going to actually conclude that arrangement or not but it's got a significant market opportunity behind this. So hopefully in coming quarters, we will have some visibility on what we think that arrangement is going to look like.
Operator: [Operator Instructions]
Matt Hayden: And, Tim, I want to turn it over to you for a minute just to review a few of those email questions that came in from shareholders. Okay. The first -- and this is actually a webcast question that came in. Can you elaborate on the potential licensing opportunities, the number of potential licensees? Any new markets that are related to the demo market previously discussed, where does that stand?
Dan Brdar: Licensing is really going to play a couple of different rules. One is it maybe a way that we enter in international markets. I think that actually is a two step process where the international partner would first pick up product from us, maybe white label it and then transition into a licensing arrangement. We don’t see any of those happening near term in terms of those kind of partners moving directly to a license for international opportunity. We see some other activities that we are engaged in to our players that want to go do something different. So it's not the traditional storage related application that we are doing but really the opportunity to license our technology for variations, products and solutions they are providing. And also now that we have put our white paper out there on B-TRAN, we are getting a lot of inbound enquiries from semiconductor fabricators what want to understand more about the technology and understand there is a licensing opportunity that we would be willing to pursue. Licensing is still going to be a critical part of our relationship and what we do going forward in the business. It just takes time to get there because you have got to demonstrate the viability of the technology itself first.
Matt Hayden: Okay. And what are some of the other likelihood applications of the PPSA technology that the company is considering pursuing. What timeframe?
Dan Brdar: The VFDs we think is the one that is probably the most promising simply because when you look at the $70 billion power conversion by 2020, about half of that is served by VFDs. So VFD is a really big addressable market for us. There are other parts of renewable energy that we could deploy products in. Things like wind. We could deploy our technology in applications like UPS. As we develop the bidirectional switches there are a whole variety of applications we can go after but we think that as a small company we got to be very focused and the next one that we think makes the most sense because of its scale and because of the lack of innovation that’s been in that space is the VFD market.
Matt Hayden: Okay. The next question, are any customers looking at a residential size power convertor for geographies like Australia?
Dan Brdar: Several of them are. But we think Australia is actually starting to open up in the commercial and industrial space as well. Both our existing partners and some new ones that we are going to be announcing view Australia as an important part of the market that they are going to go after. And when we look to the international certifications that we are going to pursue in 2016, Australia has its own requirements and they will be one of the first international certifications that we have secured.
Matt Hayden: Okay. And then an email question. Why did you decide to go with a new fab for the B-TRAN development instead of using the fab now working on the bidirectional IGBT?
Dan Brdar: It's really a function of the stack that the purpose of the semiconductor fabrication development work is learning the manufacturing processes. And we wanted to work with another fab that we focus almost exclusively on the B-TRAN because as we get further and further along, we are just more and more excited about the potential the B-TRAN represents for us, both in terms of its performance and in terms of the IP protection that we will have around that. So it was really a matter to keep the effort segregated and for us also to learn from both of those semiconductor fabricators. Sort of best practices, because there is going to be a lot of cross-pollination between the devices from manufacturing and production activity that we want to make sure that we get the best expertise that’s out there and available to us in the development.
Matt Hayden: Okay. And then a question specifically on the bidirectional IGBT. Can the company provide an update on when we can expect a prototype and the eventual commercialization?
Dan Brdar: A lot of this is a function of how quickly the semiconductor manufactures get through their -- little bit of a trial and error process and how to make a two sided device. We think now with there being a second semiconductor fabricator in play. It sort of puts pressure on the original fabricator to move a little faster, prioritize what they are doing. But we expect to be providing results for early next year talking about where we are and what we are doing to actually test and validate the first device that he is going to make. Matt, do you have any additional questions you have received via email?
Matt Hayden: That’s all for now, so we will go back into the queue. Thank you.
Operator: At this time we have a question from Colin Rusch with Oppenheimer.
Colin Rusch: As you guys look at going from testing early next year and bringing those B-TRAN or bidirectional IGBTs into your products, how long do you think that will pick?
Dan Brdar: Well, there is a couple of different paths. First is, we are going to validate the switches themselves. Once we have done that and we have packaged the switches, there are two different plays. One is the incorporation of them in our products and that will be something that we will build the prototypes and we will take them through long-duration testing. I don’t think we will see it in an actual version of products until '17 or likelihood. But once we have gone through the validation and done some optimization around the design and package the switches themselves, they are now actually available as a product in their own right. It doesn’t have to be used in our PPSA technology, particularly if we go the route of B-TRANS, it could be used in places of what's done today with conventional IGBT. So that’s when we will off pursuing licensing arrangements because we think there is a whole separate very high volume attractive market that we can go after just on the switches that don’t require us to make a product.
Colin Rusch: Okay. Great. And as you think about the product set in 2017, just separate from the switches being standalone and looking at your power converters. I mean do you think you will continue to sell 30 KW inverters or do you go to primarily to 60s or do you have some other device design in mind in terms of what the standard is going to be going forward?
Dan Brdar: We are going to see how the market develops. If we look at what's in our backlog right now. It's pretty evenly represented for our original 2.30 kilowatt product, our three port products that are microgrid resilient and the 125, but we do see the grid resilience, 50Hz, 60 Hz products really kind of taking over in that 30 kilowatt space. And then as we bring out the switches, since most of those applications require multiple units, we were in all likelihood going to up-rate the output capability of the 30 kilowatt, probably keep the 125 and potentially make a 250 kilowatt version out of the 125 using the bidirectional switches.
Colin Rusch: Great. And then as you look at the pipeline of activities, I know what you have seen from an order standpoint. Could you talk a little bit about how the pipeline looks now compared to where it was nine months ago and 12 months ago.
Dan Brdar: The pipeline actually looks very different and its mostly because of the new players that are coming into the space. We are seeing partners that are just bringing a lot more global reach, they are bringing a lot more capability in terms of being already in adjacent markets and having sales teams already built and having other things that they are offering along with storage. If you would ask me a year ago what our mix of revenue was going to be and where it was going to come from, that answer will look very different today. And that’s continuing to evolve. As we announce some of the new partners, there are going to be folks that have sufficient expertise and market presence. They are going to be doing a level of business that’s similar to or greater than Gexpro.
Colin Rusch: Great. We will take the rest of it offline. Thanks a lot guys.
Operator: That does conclude the Q&A session. Mr. Brdar, please make any concluding remarks.
Dan Brdar: I want to thank everybody for joining us. It certainly has been an eventful quarter for us in terms of getting the new products out there and certainly getting our backlog to the level that positions us to be successful in 2016. And we look forward to continuing to keep you apprised of our progress because we think 2016 is going to be a pretty exciting year for us. So thank you everybody for joining us.
Operator: That does conclude today's presentation and today's conference call. Thank you all for your participation.